Operator: Hello, everyone, and welcome to the Yatra 2Q '25 Earnings Conference Call. My name is Ezra, and I will be your coordinator today. [Operator Instructions].
,:
Manish Hemrajani: Good morning, everyone, and welcome to our earnings conference call for the fiscal second quarter of 2025, covering the period ended September 30, 2024. I'm pleased to be joined on the call today by Yatra's CEO and Co-Founder, Dhruv Shringi; CFO, Rohan Mittal. A discussion today, including responses to your questions, reflects management's views as of November 30, 2024. We undertake no obligation to obtain or revise any forward-looking statements, whether as a result of new information, future events or otherwise. Before we begin, I would like to remind you that certain statements made on today's call may constitute forward-looking statements. These statements are based on management's current expectations and beliefs and are [Technical Difficulty]
Dhruv Shringi: Thank you, Manish, and good evening, everyone. Thank you for joining us for our second quarter 2025 earnings call. As you would recall, we completed the acquisition of Globe Travels, a leading corporate travel and MICE company headquartered out of Kolkata on September 11, 2024. Our results that we discussed today will include those performance for the 20-day period. For the quarter ended September 30, 2024, we reported total revenue of INR 2.36 billion, marking an impressive year-over-year increase of 151%, primarily fueled by a strong organic performance in our Hotels and Packages segment, and in our Meetings, Incentives, Conferences and Exhibitions, which is MICE business. Our organic growth rate was also equally impressive at 121%. The robust growth in MICE underscores our ability to capture the rising demand for corporate travel and event services, further solidifying our market presence. Despite headwinds in the B2C air segment, our Corporate Travel segment continued to demonstrate strength, showing significant growth across all major metrics. In the second quarter of FY '25, we onboarded 29 new corporate clients, collectively adding an annual billing potential of INR 1.2 billion. This not only expands our client portfolio but reinforces our value proposition as a trusted partner in the corporate travel space. As I mentioned earlier, on September 11, 2024, we completed the acquisition of Globe Travels for INR 1.28 billion in cash. I'd like to highlight some strategic advantages we expect from this acquisition. Through this acquisition, Yatra adds substantially to its customer base with about 360 new customers from Globe. And this would be in addition to our 850 large corporate customers that we currently service. This enhanced base solidifies our leadership position in the corporate travel market in India and reinforces our competitive advantage. The expanded customer base is expected to strengthen our position with suppliers, enabling us to negotiate more favorable terms, which in turn allows us to deliver even greater value to our customers. Globe Travels is well known for its expertise in the MICE sector, by integrating Globe's capabilities with our recent organic growth in MICE, Yatra is positioned to become one of the largest players in this fast-growing segment in India. The acquisition of Globe Travels also brings access to a diverse and largely nonoverlapping client base, thereby diversifying our client portfolio across various industries. This diversified portfolio presents ample cross-selling opportunity for Yatra's hotels and expense management platform, allowing us to provide a more comprehensive suite of travel solutions tailored to meet the specific needs of our customers. With Globe Travels, last fiscal year, delivering adjusted revenue of approximately INR 470 million and adjusted EBITDA margins exceeding 30%. This acquisition is immediately accretive to our financials. We also foresee additional potential for margin expansion as we realize synergies. Importantly, Globe Travels operations are primarily offline, thereby presenting an opportunity to introduce our corporate self-booking platform to their customer base and creating significant efficiencies and enhancing our value creation potential. Globe Travels corporate clients can expect improved cost savings and streamline operations by leveraging Yatra's digital platform. As part of the combination of Yatra and Globe, we had identified synergies upwards of INR 60 million per year on account of combining supply and GDS deals alongside automation-related cost benefits. We remain well on track to achieve these and potentially realize synergies a bit in excess of these. Additionally, we have achieved notable organic progress in our MICE and corporate hotels business this quarter as evidenced by the outperformance in our Hotels and Packages segment. This segment saw gross bookings increased by 68% year-over-year, of which organic growth was about 44%, and the rest accounted for by the acquisition of Globe. Our adjusted EBITDA for the quarter reached INR 66.7 million, up 91% year-over-year and up 28% on an organic basis. This strong performance underscores the continued momentum of our strategic initiatives. Moving on to some of the more recent developments which have happened. Firstly, let me talk about expense management. Our expense management solution, RECAP, is progressing well with several large customers currently in the platform, in the pilot phase. This product has seen encouraging responses, indicating its strong potential as the cross-sell offering within our current customer base and also on a stand-alone basis. Given the significant demand and profitability and potentially the expense management sector. We see substantial opportunities to scale RECAP both in India and internationally, thereby deepening our customer relationships and reinforcing our value proposition. Moving to our Corporate Platform Partners Program. Last quarter, we announced its strategic partnership with DW Travel, a premier travel management company based in the United Arab Emirates under our CPP program. This partnership enables offline and online travel agencies to benefit from new revenue streams, differentiated offerings and advanced travel-related products and services. To the CPP program, partners like DW Travel can leverage Yatra's cutting-edge platform to offer a superior travel expenses -- experience to their customers, thus unlocking new growth opportunities and solidifying our position as a leading provider in the travel management space. During the quarter, I'm also pleased to announce that Yatra became the first travel management company in India to integrate the new distribution capabilities offered by IATA through its self-booking tool. The new booking capability of the NDC platform integrates a richer booking experience with greater transparency and flexibility for customers. It also provides access to special fares, which otherwise not accessible through the GDS platforms. By integrating NDC Yatra ensures that the corporate travelers on our platform have access to the wider array of choice and a streamlined booking experience. This integration not only supports cost efficiencies, but also empowers businesses with smarter, more informed decision-making. This milestone reinforces Yatra's commitment to innovation and leadership in the corporate travel management space. Moving on to our B2C segment. The B2C business continues to face direct competition from some of the domestic suppliers to differentiate pricing on their websites and apps. However, despite this competition on the B2C air front, we have managed to stabilize the volumes and are focused on improving operating performance. We have seen the benefit of this flow through in the month of September and October and expect the same to continue in Q3 as well. Our brand, yatra.com, continues to have strong brand recall, which has in a relatively short period of time enabled us to offset the impact of these industry headwinds. In addition, we continue to make strong inroads on selling personal travel to the employees of our corporate customers, and the attach rate of personal travel was up almost 20% versus the same quarter last year. This channel continues to remain a very cost-effective channel for customer acquisition for us. Towards the end of September, we have also launched a revamped user experience on our website and mobile apps for Android and iOS, and the initial response to conversion optimization on the new platform is very encouraging. Looking forward at the macro environment. In the September quarter, India's corporate travel sector experienced significant growth, reflecting the country's robust economic performance and evolving business dynamics. The Reserve Bank of India's economic outlook during this period further underscores the nation's economic resilience and growth prospects. India's corporate travel market is undergoing a transformative phase driven by new work models and technology innovation. A recent Deloitte report highlights that innovation in corporate travel is key to enhancing employee experience and optimizing cost. The MICE segment has also been a significant contributor to this growth. Companies are increasingly investing in MICE activities to foster team cohesion, engage clients and drive business development. This trend has led to a surge in demand for hotels, conferencing facilities and related services. Technology advancements have played a pivotal role in reshaping corporate travel. The adoption of tech-enabled personalized and sustainable solutions is driving the corporate travel landscape in India. Companies are leveraging digital platforms for travel booking, expense management and real-time, itinerary adjustments, enhancing efficiency and traveler satisfaction. The RBI economic outlook for the September quarter reflects positive trajectory for India's economy. Domestically, the RBI has maintained a favorable growth forecast at 7.2% for fiscal year '25. The robust performance of the corporate travel sector is both a contributor to and a beneficiary of India's positive economic outlook. As businesses expand and engage in more face-to-face interactions, the demand for corporate travel services increases, stimulating growth in related industries such as hospitality, aviation and event management. A stable and growing economy, as indicated by the RBI's outlook provides the confidence and financial capabilities for businesses to invest in corporate travel. The Central Bank's policies aimed at maintaining inflation within target range and supporting growth create a conducive environment for corporate activities, including travel. While the challenges remain in the B2C segment, we are highly encouraged by the strong momentum we are experiencing in our Corporate Travel business, alongside the value creation expected from the Globe acquisition and the growth in the MICE segment. The addition of new corporate accounts and the development in our MICE business to exemplify our commitment to delivering long-term value for stakeholders. We will continue refining us to retake initiatives to maintain our leadership in the corporate sector, and are simultaneously exploring ways to increase our share in the direct-to-consumer market. With that, I'll hand the call over to Rohan, who will provide a more detailed breakdown of our financial performance. Rohan?
Rohan Mittal: Thank you, Dhruv. Thank you for joining. I will now review our financial performance for the quarter ended September 30, 2024. For this quarter, our gross bookings remained largely stable year-over-year at INR 17.7 billion, which was at USD 210 million. While our overall gross bookings stayed steady, this was the result of different performance across our business segments, reflecting shifts in the air and hospitality market. Air gross bookings fell by 10% year-over-year to INR 13.3 billion, which is roughly USD 158 million for the quarter. This decline is due to the aforementioned challenges in the B2C segment. However, we continue to focus on optimizing our Air Ticketing operations and improving margins through cost efficiencies and targeted initiatives. On the other hand, our Hotels and Packages segment saw a robust growth with gross bookings increasing by 68% year-over-year to INR 3.37 billion, which is roughly USD 44 million. This was on account of strong corporate hotel performance as well as MICE business performance. Our overall adjusted margin for the quarter was at INR 1.4 billion. Our adjusted margin percentage for Air Ticketing business was at 7% and 11% for the Hotel and Packages business. Moving on to expenses. As a percentage of total gross booking value, marketing and sales promotion expenses, including consumer promotions and loyalty program costs, decreased by 18% year-on-year to INR 679 million, which is USD 8.1 million. Our personnel expenses excluding share-based payments, increased by 20% year-on-year as we continue to invest in talent, which allows us to build our mid-market MICE, Visa and expense management businesses. This also includes the partial impact of annual appraisals. Our other operating expenses have increased by 15% compared to the year ago quarter. This is mostly due to certain one-off expenses which are related to the recent acquisition. On an overall basis, our adjusted EBITDA was INR 66.7 million, which is roughly -- a little short of USD 1 million. This reflects an increase of 91% on a year-on-year basis. Lastly, as of 30th of September, we were carrying balance of cash, cash equivalents and term deposits on our books of INR 2.2 billion, which is roughly USD 26 million. Our gross debt as of 30th September was INR 277 million, which is roughly USD 3.3 million. With this, we conclude our prepared remarks, and I'd like to hand it over to the moderator for the Q&A.
Operator: [Operator Instructions] Our first question comes from Scott Christian Buck from H.C. Wainwright.
Scott Buck: First one, Dhruv, I was hoping you could provide maybe a little bit of color on the integration process with Global India. And when do you think you'll be able to start getting some of that cross-selling?
Dhruv Shringi: Sure. Scott. So Scott, in terms of the integration process, there are two steps to the integration process, the way we are looking at it. One is in terms of integration of the supply, and those steps have already been taken. So we will see the benefit of that accruing in the quarter starting now. The other part of the integration is the cost optimization and the cross-sell, which is dependent on implementation of the technology platform into Globe's customers, we would expect that to start kicking in from the early part of January. So we'll see more effects of that coming in starting the fourth quarter because at this point of time, the technology team is working with the Globe team in terms of implementing our solution for Globe.
Scott Buck: Great. That's helpful. And then I was hoping you could give us some indication of where you're seeing the most opportunities in MICE and how we should think about that as a growth opportunity over the next 24 months or so?
Dhruv Shringi: In terms of MICE, what we are seeing is that within our existing customer base itself, there is a significant amount of opportunity to cross-sell. And Globe also brings with it a large expertise, right, in terms of doing this, they're one of the market leaders. So the combination of what Globe's team is doing, plus our organic efforts over the course of the last 6 months, make us a really compelling and a real force in the market when it comes to MICE. I would continue to see MICE growing at double-digit in terms of, in fact, 20%, 25% from the base that we established in the current year. for the next 2 to 3 years at least, right? So our endeavor would be to see that the combined run rate that we have in the fourth quarter of this fiscal year is doubled within the next 3 years when it comes to MICE. And that, I think, is recently achievable if we continue to focus on cross-selling to our existing customer base. Our penetration of MICE today is extremely small when it comes to the size of the customer base that we currently manage. So there's a lot of upsell opportunity there.
Scott Buck: Great. That's really helpful color. And then last one, can you just remind us what's driving the price competition on the B2C business? And I think you kind of touched on it in the prepared remarks, but how long do you think this lasts?
Dhruv Shringi: See, I think on the B2C side, this process actually got initiated by one of the largest airlines in the country, they started piloting this back in January of the current year. So it's been already 11 months, and they've been doing this and they've only scaled up what they've been doing. I think this is likely to stay. And I think from our perspective, we have to keep finding opportunities to add more value to the customer through cross-selling, things like hotel, car rental, insurance, et cetera, and look at flights more as a means of customer acquisition rather than as a means of driving profitability.
Operator: [Operator Instructions] Our next question comes from Mahu Ramesh.
Unidentified Analyst: Just wanted to check what is the status of fungibility between the US and the Indian stocks. What is the update on that? And then the second question is, if I understand right, the fourth -- or third quarter of this year is the peak quarter for you. So how do you see that evolving so far?
Dhruv Shringi: So on the fungibility, we are working with the regulators and our legal team is interacting with them regularly to work out the modalities of collapsing the structure and simplifying the process. But that's currently work in progress with the regulators, and we are making good progress on that. But given that there are multiple jurisdictions and regulators involved in that process, it would be a slightly time-consuming exercise, though all our efforts are to try and expedite that as much as possible. But that's one of the key priority areas for us. Our Board, if you recall, back in July, had set up a steering committee as well, with some of the Board members on that committee. So we are all actively pursuing that with the regulators in different jurisdictions. In terms of your second question, which is with regards to the quarter, Q3, while Q3 is a very strong quarter for B2C, given that our business is more focused on the corporate side. The third quarter is not really a strong quarter for corporate. Corporate Travel will have Jan, Feb, March as the strongest quarter because in this quarter, we've got significant amount of holidays, first for Diwali and then for Christmas and New Year. So this is the lowest quarter when it comes to business travel.
Operator: Thank you very much, that marks the end of the question-and-answer session. I will now hand back over to Manish for any closing remarks.
Manish Hemrajani: Thank you. Thank you, everyone, for joining the call today. And as always, management is available for follow-ups. Please feel free to reach out. Thank you all.
Operator: Thank you very much, everyone, for joining. That concludes today's call. You may now disconnect your lines.